Operator: Welcome to Impinj, Inc.'s First Quarter 2025 Financial Results Conference Call and Webcast. All participants will be in a listen-only mode. Should you need assistance, please signal a conference specialist by pressing the star key followed by zero, then one on a touch-tone phone. Please note that this event is being recorded. I would now like to turn the conference over to Mr. Andy Cobb, Vice President, Strategic Finance. Please go ahead, sir.
Andy Cobb: Thank you, Nick. Good afternoon, and thank you all for joining us to discuss Impinj, Inc.'s first quarter 2025 results. On today's call, Chris Diorio, Impinj, Inc.'s Co-Founder and CEO, will provide a brief overview of our market opportunity, and Cary Baker, Impinj, Inc.'s CFO, will follow with a detailed review of our first quarter financial results and second quarter outlook. We will then open the call for questions. Hussein Mecklai, Impinj, Inc.'s COO, will join us for the Q&A. You can find management's prepared remarks plus trended financial data on the company's Investor Relations website. We will make statements in this call about financial performance and future expectations based on our outlook as of today. Any such statements are forward-looking under the Private Securities Litigation Reform Act of 1995. Whereas we believe we have a reasonable basis for making these forward-looking statements, our actual results could differ materially because any such statements are subject to risks and uncertainties. We describe these risks and uncertainties in the annual and quarterly reports we file with the SEC. We do not undertake and expressly disclaim any obligation to update or alter our forward-looking statements except as required by law. On today's call, all financial metrics except for revenue, or where we explicitly state otherwise, are non-GAAP. All balance sheet and cash flow metrics except for free cash flow are GAAP. Please refer to our earnings release for a reconciliation of non-GAAP financial metrics to the most comparable GAAP metrics. I will now turn the call over to Chris.
Chris Diorio: Thank you, Andy. And thank you all for joining the call. At a time of extraordinary macro uncertainty, Impinj, Inc.'s long-term secular growth opportunity in retail, supply chain and logistics, food, and the long tail of other applications remains intact. Enterprises use our platform to digitize their operations for production management, supply chain optimization, and inventory visibility. Those operational needs transcend short-term headwinds or cyclical and fuel enterprise success. During COVID, enterprises that leveraged our platform outperformed those that did not. I believe that history is poised to repeat itself. With enterprises that use our platform today, that are able to adapt to tariffs, than those that do not. Additionally, enterprises use our platform to track and manage the staple people buy regardless of the macro. They add endpoint ICs to products regardless of whether they source those products from China or from other parts of the world. So although retail prices may increase, shelves are not going to go empty. And products that carried our ICs yesterday will still carry them tomorrow, even if sourced from a different geography. We believe we are in a strong position to win in this. We have number one endpoint IC market share, after we took 85% of the industry's 2024 unit volume growth and that with most of the M800 ramp still ahead of us. Our balance sheet and operating margins are strong, giving us the confidence to invest in and alongside our enterprise customers. Historically, when we lean into times of uncertainty, we emerge on the other side with greater share and a stronger business, and we intend to do so again. Turning to the first quarter, our execution was solid despite the uncertain environment. Steady demand and higher than expected endpoint IC volumes drove revenue and profitability above our guidance. We also saw a strong book-to-bill ratio and solid pipeline activity with enterprises remaining active and engaged. We took out a bit less N20C channel inventory than we had expected, primarily due to partners strategically meeting inventory geographic optionality in the face of tariffs. We also saw multiple pull-in, push-out, cancellation, and bookings requests all in the same quarter, which speaks to the challenges our inlay partners are having navigating the tariff uncertainty. Looking to the second quarter, the tariff and politics-induced market whipsaw appears unlikely to subside simply because some tariffs are paused. From today's vantage point, we see a modest second quarter channel inventory increase as our inlay partners continue building optionality, which in ordinary circumstances might be concerning, but that build is measured against enterprises under-shipping consumer demand as they shift US-bound product shipments from China to other geographies. That geographic shift represents roughly 15% of our endpoint ICs, but our exposure is much less because products from new geographies also carry our endpoint ICs. Assuming consumer demand holds, shipments will catch up to demand. When they do, we should see channel inventory normalization and bookings growth. Returning to first quarter highlights, I'll start with Gen2X, which is showing its prowess. Comparing N830 Gen2X against a competing endpoint IC, Gen2X grew the area coverage of an overhead reading solution by 44%, helping convince a large apparel retailer to launch a major overhead deployment. We believe Gen2X will continue driving share gains and demand for. Second, our direct engagements with the two large grocery chains we discussed last quarter continue moving forward. Third, we saw strong E family demand, suggesting ongoing retailer deployments and pushing reader IC revenue above expectations. And finally, a partner extended the loss prevention solution we developed for the visionary European retailer to loss analytics, which does not need 100% tagging, and won a major deployment at another retailer. Overall, we feel good about our market progress and keep pressing forward. In closing, we're not immune to the tariff shock waves, but I believe we are well-positioned to play offense. We lead in Equin ICs, reader ICs, and fixed readers. We create the enterprise solutions that transform our industry. We manufacture and deliver our products overseas, so for the most part, we are not subject to direct tariffs. Our endpoint ICs represent a tiny fraction of the cost of the retail staples they are used on, and many tariffs are unlikely to change enterprise decisions to use our ICs. And finally, we saw the tariff impact early, said what we saw, and quickly began adjusting our business, shifting investments away from China and toward the U.S. and Europe, where we see continued growth opportunities. We are managing our business with a steady hand focused on extending our technology lead, market share, and platform adoption. As always, before I turn the call over to Cary for our financial review and second quarter outlook, I'd like to again thank every member of the Impinj, Inc. team for your tireless effort. As always, I feel honored by my incredible good fortune to work with you. Cary?
Cary Baker: Thank you, Chris, and good afternoon, everyone. First quarter revenue was $74.3 million, down 19% sequentially from $91.6 million in fourth quarter 2024, and down 3% year over year from $76.8 million in first quarter 2024. First quarter endpoint IC revenue was $61.2 million, down 17% sequentially from $74.1 million in fourth quarter 2024, and down slightly year over year from $61.5 million in first quarter 2024. Endpoint IC revenue exceeded our expectations driven by turns orders. Looking forward, we expect second quarter endpoint IC product revenue to increase sequentially. First quarter systems revenue was $13.1 million, down 25% sequentially from $17.5 million in fourth quarter 2024, and down 15% year over year from $15.3 million in first quarter 2024. Systems revenue exceeded our expectations driven by strength in both Reader and Reader IC sales. Looking forward, we expect second quarter systems revenue to decline sequentially driven by lower reader IC revenue. First quarter gross margin was 52.7% compared with 53.1% in fourth quarter 2024 and 51.5% in first quarter 2024. The year-over-year increase was due primarily to lower indirect costs. The sequential decrease was driven by lower systems revenue mix. Looking forward, we expect second quarter product gross margins to be similar to first quarter. Total first quarter operating expense was $32.6 million compared with $33.6 million in fourth quarter 2024 and $32.9 million in first quarter 2024. Operating expense was below expectations as we managed spend and benefited from favorable timing. Research and development expense was $17.3 million, sales and marketing expense was $7.7 million, and general and administrative expense was $7.6 million. Looking forward, we expect second quarter operating expense to be similar to first quarter. First quarter adjusted EBITDA was $6.5 million compared with $15 million in fourth quarter 2024 and $6.7 million in first quarter 2024. First quarter adjusted EBITDA margin was 8.7%. First quarter GAAP net loss was $8.5 million. First quarter non-GAAP net income was $6.3 million or $0.21 per share on a fully diluted basis. Turning to the balance sheet, we ended the first quarter with cash, cash equivalents, and investments of $232.5 million compared with $239.6 million in fourth quarter 2024 and $174.1 million in first quarter 2024. Inventory totaled $98.5 million, down $900,000 from the prior quarter. First quarter capital expenditures totaled $1.9 million, and free cash flow was negative $13 million, driven primarily by unfavorable working capital timing, which we expect to reverse in the second quarter. Before turning to our guidance, I want to highlight a few items specific to our results and outlook. First, as Chris noted, due to partners changing their inventory strategies for geographic optionality, our first quarter endpoint IC channel inventory declined by only one week. From today's vantage point, we see partners maintaining higher endpoint IC inventory balances for the foreseeable future. Second, first quarter product gross margin exceeded our expectations, partially driven by Reader IC revenue strength. We anticipate similar product gross margin in the second quarter, even as our high-margin Reader IC revenue declines. Looking to the second half, product margins will benefit from higher M800 mix, improved production yield, and lower cost wafers. Finally, I am proud of our operational execution in the first quarter. We tightly managed operating expenses, inventory, and margins, delivering adjusted EBITDA well above our guidance. Looking ahead, we will align our investments to our revenue profile, staying agile in this uncertain environment. Turning to our outlook, we expect second quarter revenue between $91 million and $96 million compared with $74.3 million in first quarter 2025, a quarter-over-quarter increase of 26% at the midpoint, including the licensee payment, and 4% excluding it. We expect adjusted EBITDA between $23.5 million and $26 million. On the bottom line, we expect non-GAAP net income between $20.8 million, reflecting non-GAAP fully diluted earnings per share between $0.68 and $0.76. In closing, I want to thank the Impinj, Inc. team, our customers, our suppliers, and you all, investors, for your ongoing support. I will now turn the call to the operator to open the question and answer session. Nick?
Operator: Thank you. We will now begin the question and answer session. If you have a question, please press star then one on your touch-tone phone. If you are using a speakerphone, please pick up your handset before pressing the keys. As a courtesy to others, we ask that you limit yourself to one question and one follow-up. If you have additional questions, please re-queue, and we will take as many questions as time allows. At this time, we will pause momentarily to assemble our roster.
Harsh Kumar: Yeah. Hey, guys. First of all, congratulations on very good results in what I would describe as an extremely uncertain environment. Chris and Cary, I have one for you. Obviously, you are aware of tariffs. They are changing, if you will. I guess my question is if these tariffs do hit or even if they are maintained at the level that they are maintained at, one would expect some sort of a demand fall-off. I guess, how are you thinking about this aspect of your business? And then maybe for historical context, if you have seen anything like this in the past ten, fifteen years, we could talk about what you saw last time. And how are you preparing for this potential, possible, you know, possible demand drop?
Chris Diorio: Okay. Alright. So I'll do my best to answer your questions. You might need to interject one or two times if I miss part of it. But first, I want to start by saying thank you for your kind words towards the beginning. I'm going to answer the second question first, just have we seen a scenario like this previously? I can't recall anything like this. We struggled during the 2008 downturn, but that was a long time ago when we were still a small private company. Obviously, COVID was quite a whipsaw for the business, but it was materially different. We're in uncharted waters here. But at the same time, I truly feel that we've got the strongest team in our company's history. We've got the strongest financial backdrop in terms of our cash strength, operating margins, product portfolio, everything else we need to weather the storm. We've got a very strong enterprise end customer base. And we've got a very dedicated set of partners. So as I said in my prepared remarks, I believe we will benefit from investing in the opportunities where we see that we see to invest in and coming out the other side stronger. That answered the first part of your question about tariffs. So go through a couple of points, and, Cary, you'll need to jump in here and see what I missed. Bookings were strong in the first quarter, and we are still seeing bookings. That is kind of different from, for example, what we saw in the COVID time frame. At the second time, we did not see material pull-aheads in the first quarter. And we're currently not seeing them in the second quarter. Said another way, we're not seeing pull for our products driven by the enterprise end user pulling ahead demand for endpoint ICs. We see fairly consistent endpoint IC shipment volumes across the quarter. We do see the shift, the geographic shift from where the end users are sourcing their products out of China to newer geographies, to different geographies. And have paused some shipments as a result of that shift. So we currently believe that enterprise end users are under-shipping demand. At the same time, we see some channel inventory build as our label partners build that inventory to have geographic optionality to fulfill for those enterprise end users as they need the labels. So net, we think those two kind of wash out. As I said in my prepared remarks, we expect to see some normalization and bookings return as enterprise end users begin fully shipping into that demand. So net of it will feel like we're navigating the tariff situation. Okay? And we'll keep driving to the future.
Harsh Kumar: Yeah. Go ahead, Harsh.
Chris Diorio: No. No. That was it. I was going to say thank you. That was a very complex question. Thank you for all the clarity and the points you made. Let me ask my second question, Chris. You know, you talked last quarter about some inventory at one of your larger customers in one of the segments. How are you and you said that our customers seemingly want to maintain a high level of inventory. How are you thinking about your business as you get past this slightly increased level of inventory that your customers want to maintain, do you think that 2025 could be a lot like 2024 where you see decent demand and decent growth both in endpoint IC and systems, or do you see something different happening? Because of all the confusion.
Chris Diorio: But we don't think channel inventory is high relative to consumer demand. We're seeing a wobble right now in the second quarter associated with production shifting to different geographies. In terms of what we see looking out, that's harder. I mean, we guide one quarter at a time. And given the macro dynamics that are going on right now and the uncertainty, it's really hard to predict the future. In fact, I'm reticent just to really say anything about it other than if consumer demand holds, our products go on staples. And they go on shoes and socks and children's clothing. They go on medical shipments and shipping packages. They go on government ID and food products. I mean, they're going to things that people buy regardless of. So we feel good about our position. Doesn't mean that if there's a major downturn, we won't feel it. We feel it the same way the macro feels it. But right now, we don't see that downturn. We see a, like I said, a wobble in the second quarter. As production shifts to different geographies. I'll turn it over to Cary. Anything you want to add, Cary?
Cary Baker: Yeah. I Harsh, I would add that, you know, we entered the quarter in a little bit elevated channel inventory. Position and some of our partners made really good progress reducing that channel inventory. While others did not. But in the end, towards the end of the first quarter and certainly into the second quarter, the strategy around inventories is changing. Partners are flexing their geographic footprint and they're trading off regions that have higher transit time for lower tariff risk. So that's putting inventory strategically, purposely, and rationally into the channel. And that's why they're telling us that they think they're going to hold this level of inventory. So it's a really interesting dynamic right now. But for today, from today's vantage point, we feel like we're in pretty good position.
Harsh Kumar: Fair enough, guys. Thank you so much. I'll get back in line.
Chris Diorio: Thank you, Harsh.
Operator: And your next question today will come from Scott Searle with Roth Capital. Please go ahead.
Scott Searle: Hey, good afternoon. Thanks for taking the questions. Nice job, guys, in an incredibly difficult, if not schizophrenic environment.
Chris Diorio: Thank you, Scott.
Scott Searle: So, Chris and Cary, just to follow-up on Harsh's questions here. It sounds like we're, you know, when we entered the year, you talked about elevated inventory being at weeks. And you say it's come down by about one week, but now we might be in a new equilibrium given the geographic distribution. I just want to clarify that comment. Is that what you're saying so that we're not going through some further inventory reduction as we go into the second half of this year from a channel perspective? And also if you could clarify, I think there's been some concern or speculation in terms of your end product mix exposure, right, with I think the last numbers you guys have talked about is 70% in retail slash apparel, but a lot of that is seasonal. So if you had any other color on that front in terms of what is seasonal and therefore goes through that seasonal replenishment as opposed to sneakers that could sit on the shelves, etcetera, for months, if not quarters.
Cary Baker: Hey, Scott. This is Cary. Thanks for the question. I'll take the first half of it, and then I'll hand over to Chris. We don't think channel inventory is high right now. Not high versus the evolving production strategies that our inlay partners have and not high for the fact that we think we are under-shipping and consumer demand in this environment.
Chris Diorio: Yeah. Scott, so I'll do my best to answer your question. We, you know, our business has become more diversified over the past couple of years in terms of where our endpoint ICs are used. We currently ship a good portion of them into supply chain logistics, which is significantly in the US. And those volumes seem to be holding. We ship into not only retail apparel, but retail general merchandise. General merchandise tends to be more of a kind of staple stores, the words that I used in our prepared remarks. If you just look at retail apparel on its own, I don't think we've actually sat down and quantified for our investors what percentage of our overall business is currently retail apparel nor what of which of it is seasonal versus not. What you're really asking at is what part is the discretionary and what part is necessary? And we think that the significant majority of our endpoint issues go on products that are staples or necessary and not discretionary. Discretionary consumer demand goes way down and discretionary comes down. We'll feel it as the macro feels it. But we feel pretty good about what we tagged today, where our products are going, and the diversification we've seen over the past couple of years.
Scott Searle: Okay. Very helpful. Thank you. And if I could just looking to the second half, there are a lot of different levers that you've had out there in terms of big box retailers piggybacking off of Walmart, you know, migration into smartphones with Qualcomm, I'm wondering if you could update us on a couple of those initiatives and what you would expect possibly hit in the second half of this year. I think in your opening remarks, you talked about engagement with two grocers, that that continues to progress. Any color on that front would be helpful. Thanks.
Cary Baker: Yeah. Scott, this is Cary. I would say that while none of those projects are showing any signs of slowing down, this environment today is highly uncertain. And we're not experts at predicting tariff policy. We do believe enterprises are under-shipping consumer demand as they wrestle with optimizing their production footprints. And with resolution to that production strategy or resolution to the tariff strategy or both, we could see bookings growth in the back half of the year assuming consumer demand holds. But until we have more clarity, we're going to stick to our policy of only guiding one quarter at a time.
Chris Diorio: And I'll say, in my prepared remarks, right now we see enterprises engaged. We haven't seen the enterprises pull back. And because we see enterprises engaged, because we saw strong reader IC volumes, which indicates that enterprises are buying readers. Because of the belief that I have that those enterprises that use our platform will end up on the winning side of the ledger through this tariff dynamic. We are investing rationally, but investing in our enterprise opportunities in this market. I believe it's the prudent thing to do. We're going to do it prudently, but we also think it's the prudent smart thing to do to come up together, side stronger.
Scott Searle: Great. Thanks so much, and great job on the quarter again.
Chris Diorio: Great. Thank you, Scott.
Operator: And your next question today will come from Jim Ricchiuti with Needham and Company. Please go ahead.
Jim Ricchiuti: Hi. Thanks. Good afternoon. I'll echo what others have said about nice job in these interesting times.
Chris Diorio: Thank you.
Jim Ricchiuti: Maybe just want to go back to what you were saying about the reader IC business, and maybe how that ties into what I think Cary, you said in recent script, you're expecting lower reader IC revenue in Q2. Can you maybe square that for us in terms of what that might indicate?
Cary Baker: Yeah. It is really timing of orders and specifically we had higher Indie Reader IC revenue in Q1 than we anticipated. This is a product that our prior generation that we've end of life it continues to sell. In our last production runs, we got higher yield than we anticipated. So we had more units than the last time orders. So we're letting those or those excess units, if you will, flow in. And that's what benefited Q2 or Q1. Excuse me. In Q2, we're seeing strong growth with our E Family Reader ICs, but on a sequential basis, it's down because I don't anticipate as much in the readerized sales in the second quarter.
Chris Diorio: Yeah. But either way, Jim, strong E family growth in the first quarter. We're expecting strong E family demand in the second quarter. And we wouldn't see strong E family reader IC demand at people who aren't planning to deploy readers. And so you're not going to deploy readers if you don't have something to deploy them into. So we actually see inter continuing to press forward deploying readers in this environment.
Jim Ricchiuti: Okay. Got it. The other question I had was and not sure if you mentioned this, but how we should be thinking about the M800 ramp and particularly in the current environment? And maybe if you could remind us of the elements we could see from the ramp on margins.
Cary Baker: Yeah. The M800 continues to ramp nicely. First quarter was strong. We expect growth in the second quarter. And at some point this year, if we continue following this path, which I believe is a typical path, we could see the M800 as a ball as our volume runner. I don't think it blends for the full year, but I think at some point this year, it turns into our volume runner. When it blends as our volume runner, I expect a 300 basis point gross margin benefit. So not that full benefit in the second half, but we will see start to see some of the benefit to gross margin in the second half.
Chris Diorio: And, Jim, I'll let Gen2X is natively implemented in our M800 ICs. Which means that all you need to do is use a reader to turn it on, and you get the benefit. So as one of my like, Dave, on our prepared remarks was significant increase in X square foot coverage in an overhead deployment at a leading retailer. That's just one example of some of the benefits that we're seeing out there on the market. From M800, which just has Gen2X natively built into it. So we see not only an opportunity to drive M800 overall as a greater portion of our overall business, but actually to enable enterprise solutions that previously we could not do. And that's we believe Gen2X in combination with the M800 is a game changer.
Jim Ricchiuti: Got it. If I can just squeeze one other one. And you mentioned this other major deployment at another retailer. What's is that occurring now? What's the timeline on that?
Chris Diorio: It's occurring in the back half this year. Yes. It's occurring now. And it's essentially a loss analytics or loss identification deployment where they're not 100% tagged, but by deploying readers at store exits, a variety of store exits, they can see what's going out of the store and they can get, they can get some ideas of where theft is happening, how it's happening, the time frames, everything. It's just a full loss analytics deployment. Doesn't give you all the benefits of a full loss prevention deployment, obviously, which you do in self-checkout, but a retailer can start without 100% tagging.
Jim Ricchiuti: Got it. Thanks very much.
Chris Diorio: Thanks, guys.
Operator: Your next question today will come from Christopher Rolland with Susquehanna. Please go ahead.
Christopher Rolland: Hey, guys. Thanks for the question. So I just wanted to confirm that I that my understanding is correct here. So first of all, you guys don't see lower retail volumes from your customers related to tariffs as we move through the year. And then secondly, you believe we're generally out of the woods in terms of inventory. You had two to three extra weeks last quarter. You burned one, but the one to two extra weeks is the new kind of state of normal here. And we'll stay indefinitely. Did I get those two parts right?
Chris Diorio: Chris, thank you. And this is Chris. Let me start, and then I'll hand off to Cary on the first part of your question. Definitely both in our prepared remarks and some of the comments, really want to highlight that there's definitely a wobble on the second quarter associated with tariffs. As we see enterprises pausing some of their shipments and shifting their suppliers to different geographies. So we believe that currently, those enterprises are under-shipping consumer demand as they transition their sourcing geographies. In terms of further out third quarter and for basically the back half of this year, number one, we only guide one quarter at a time. Number two, we're probably not the best the ones best positioned to. But what we said is this consumer demand holds. We expect channel inventory to normalize, and we expect to see bookings growth. Now that if is the keyword in there, if consumer demand holds. But as of right now, we believe enterprises are under-shipping consumer demand.
Cary Baker: And Chris, this is Cary. To your question on channel inventory, we entered a little bit elevated. We made some of our partners made good progress against that. But the strategies of how much inventory to carry have changed as a result of tariffs. And we're seeing not all partners, but some carry a little bit more than they normally would. In some cases, it's because they're adjusting their production footprint and leaning heavier on locations that have higher transit times in order to avoid areas that have higher tariff costs or higher potential tariff risk. And that's naturally causing them to carry a little bit more inventory. I think that maintains and may tell us that this is the new reality and this level of inventory will stay for the foreseeable future, but we're continuing to watch it closely. We think overall the weeks of channel inventory will normalize as the demand comes back, but I don't know that that means the volumes go down.
Christopher Rolland: That's clear. Thank you. And then your main competitor has suggested that it's gaining some momentum and some market share since their legal settlement with you guys. Would you agree that that's the case? Is this just a near-term dynamic? And then, Chris, I often ask you this, but you know, what do you see as the biggest needle-moving driver in terms of new opportunities for 2025 or 2026 even? Is it still food, or are you seeing some cool new opportunities emerge as well? Thank you.
Chris Diorio: Okay. So first, Chris, I'll start with the legal settlement and going back there. Impinj, Inc. took 85% of the industry's 2024 unit volume growth. So we saw. So that translates into a very significant share gain in 2024. Obviously, we can't project 2025 until we get the random lines data at the end of the year. But we're going to do our best to gain share again. In terms of where the market's headed, food is a significant opportunity. There will be small volumes in 2025. They won't be really material. We see food as a 2026, 2027 type opportunity just because the food opportunity is so large. The deployments are large. Just everything's big and it takes time. Think forward. In the bigger picture, we see an expansion of the market from handheld-driven or not solely, but significantly handheld-driven inventory counting in retail stores to fixed reading significantly in supply chains. And don't just think supply chain and logistics. Think supply chains. Retail supply chains, reading items from point of manufacturing, tracking them to the supply chain into a distribution center, out of the distribution center and to a store, and then out the store exit at point after point of sale. That retail opportunity not just in retail apparel, it's in retail general merchandise. It includes shipping and supply chain and logistics. And it uses significantly fixed reading. We think that growth opportunity is a place where we can excel. Our platform is needed. It's used. We're innovating in that space. So expect us to keep focusing and doubling down on opportunities around fixed reading, and that's the opportunity for the next couple of years. Looking out beyond that, you can start to see assuming you get into mobile phones, consumer opportunities to layer in. The consumer opportunity is further out in time. It's fun to talk about it. It's exciting. It truly changed our industry, but it's not going to happen in 2025 or 2026. It could be further out in time. And in the meantime, look at the solutions that we're delivering to enterprise end users to solve their pressing thorny problems.
Christopher Rolland: Thanks so much, Chris. Questions?
Chris Diorio: Thank you, Chris.
Operator: And your next question today will come from Guy Hardwick with Freedom Capital Markets. Please go ahead.
Guy Hardwick: Hi. Good afternoon, guys.
Chris Diorio: Good afternoon.
Guy Hardwick: I know you touched on it, but I wonder if you could just give us a bit of an update on the situation with your large, your second-largest North American supply chain logistics customer and whether this, you know, the flow of trade to the US is going to maybe exacerbate that issue or maybe it doesn't. Just maybe you could give us a bit of an update on how the inventory situation there is.
Chris Diorio: Yeah. You want to start? No. Go ahead, Chris.
Chris Diorio: So we continue supporting our customer all that they're doing. You see them continuing to deploy. We see growth this year over last year. And overall, we see a very positive dynamic engaging them. We haven't seen further push-outs, and we will support them as they go forward. Cary, do you have things you can add?
Cary Baker: Yeah. I would say that that remains a lot of consistency with that end customer. And you know, we've made good progress in the channel inventory perspective. But as I mentioned earlier, the channel inventory dynamic has changed. And some partners are increasing channel inventory for different reasons, for strategic reasons.
Guy Hardwick: Yeah. Thank you.
Cary Baker: Sure. Thank you, guys.
Operator: Again, if you would like to ask a question, and your next question today will come from Troy Jensen with Cantor Fitzgerald. Please go ahead.
Troy Jensen: Hey, gentlemen. Congrats. Maybe a couple quick questions here for Cary. Kind of common questions for me. But Q2 gross margins, Cary, if we see kind of midpoint of revenues, and I think you said keep OpEx relatively flat, it implies, like, a really, really high 50% type of gross margin in Q2. Am I thinking about that correctly?
Cary Baker: Yeah. You're thinking about it. Remember, Q2, we have the benefit from the annual license payment, which all flows to revenue in Q2. So that is a high-margin revenue stream for us, as you might imagine.
Troy Jensen: Yep. Perfect. And then also just to make I just want to HR real quick. On a product basis, I would expect product gross margin, so that is excluding the license payment, to be similar to Q1 gross market.
Troy Jensen: Okay. Perfect. Alright. And then how about just, like, if we look at the second half, you talk about just I mean, assuming some growth and assuming, you know, the M800 takes over, I mean, safe to say second half gross margin should be above Q1 gross margins?
Cary Baker: I anticipate the second half product gross margins to benefit from the continued M800 ramp, from improved yields that our ops team has been able to generate, and then also lower cost wafers flowing through.
Troy Jensen: Great. Perfect. Okay. And how about this last question? I should know this, but can you just give us the details again on the debt? It's the conversion price and the due date.
Cary Baker: The conversion price is about $111 stock price. And it is May 2027. So we've got plenty of time on that. Okay. Alright. The notional value, $287.5 million. We also and then the last thing I would add, Troy, is we still have the cap call from the initial convertible debt we raised in 2019. Just short of $50 million accretes to us if the stock's over $54.20. And end of 2026.
Troy Jensen: Okay. Good to know. Thank you.
Cary Baker: Yep. Thank you, Troy.
Operator: And your next question today will come from Harsh Kumar with Piper Sandler with a follow-up. Please go ahead.
Harsh Kumar: Yeah. Hey, gentlemen. I wanted to follow-up on something that I heard in response to one of the answers, Chris, that you might have mentioned. And make sure that I get this correctly. Are you suggesting that your logistics customer, the large logistics customer, will be up in 2025 over 2024 despite the inventory issues that happened in Q1? Is that the correct way for me to think about it?
Cary Baker: Well, Harsh, remember that the inventory was at the channel partner level. So we would anticipate that end customer still having label growth. Yeah. You know, any change to the macro that has a flow-through effect notwithstanding. But that was our assumption going into the year.
Harsh Kumar: Thanks, Cary. Understood. Thank you.
Chris Diorio: Okay. Thank you, Harsh.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Chris Diorio, Co-Founder and CEO, for any closing remarks.
Chris Diorio: Thank you very much, Nick. I'd like to thank you all for joining the call today. And thank you for your ongoing support. Bye-bye.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.